Operator: Good day, and welcome to the Data I/O First Quarter 2023 Financial Results Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Jordan Darrow, Investor Relations. Please go ahead.
Jordan Darrow: Thank you, Betsy, and welcome to the Data I/O Corporation's First Quarter 2023 Financial Results Conference Call. With me today are Anthony Ambrose, President and CEO of Data I/O Corporation; and Joel Hatlen, Chief Operating Officer and Chief Financial Officer of Data I/O. Before we begin, I'd like to remind you that statements made in this conference call concerning COVID-19, future revenues, results from operations, financial position, markets, economic conditions, silicon chip shortages, supply chain expectations, estimated impact of tax and other regulatory reform, product releases, new industry partnerships and any other statements that may be construed as a prediction of future performance or events are forward-looking statements, which involve known and unknown risks, uncertainties and other factors, which may cause actual results to differ materially from those expressed or implied by such statements. These factors include uncertainties as to the impact from COVID-19, including outbreaks in China, Russia war with Ukraine, including any related international trade restrictions, along with continued reopening and recovery efforts within the relevant global supply chains and among our customer base, level of orders for the company and the activity level of the automotive and semiconductor industry overall, the ability to record revenues based on the timing of product deliveries and installations, market acceptance of new products, changes in economic conditions and market demand, part shortages, pricing and other activities by competitors and other risks, including those described from time to time in the company's filings on Forms 10-K and 10-Q with the Securities and Exchange Commission, press releases and other communications. The accuracy and completeness of forward-looking statements should not be unduly relied upon. Data I/O is under no duty to update any of these forward-looking statements. And now I would like to turn the call over to Anthony Ambrose, President and CEO of Data I/O.
Anthony Ambrose: Well, thank you very much, Jordan, and welcome, everyone. I'll begin my formal remarks by addressing our 2023 first quarter financial and operational performance, and then I will turn over the call to our CFO, Joel Hatlen, for a more detailed look at the numbers. Q1 was an excellent quarter. We reported 46% top line growth with quarterly revenues reaching the highest first quarter level since 2018. Gross margins were also at the high end of our range, and we're profitable in a traditionally challenging quarter. Year-over-year financial comparisons did include and reflect the fact that we return to more normal operating conditions compared to the challenges we faced last year in Q1 and Q2. Our worldwide installed base of PSV systems increased to more than 450 machines, aided by 10 new customer wins during the quarter. This is also helping to create a more sustainable revenue profile through recurring and consumable sales, which accounted for 44% of our total revenue in the quarter. We continue to lead in automotive electronics, and we're also seeing strong industrial market growth globally. Regionally, we forecast and observed some softness in China in the first quarter due to the COVID shock in December and January as well as some upcoming changes in the automotive emissions regulations. We expect China to be a little bit stronger in the second half of the year. As I mentioned earlier, we acquired 10 new customers in Q1, and our sales funnel is very strong, and we're reiterating our annual projections that we made in our last call. We believe demand is being driven fundamentally by several factors. Number one is the long-term secular growth in the automotive electronics market. And that includes a more short-term tactical improvement in the supply of silicon products to our automotive electronics customers. This is across a range of applications, including, first and foremost, the accelerating adoption of electric vehicles, the growth in active safety systems, or ADAS, automotive connectivity, infotainment systems and increased security. The second major demand driver for us is strength in the industrial sector, including factory automation advancements and increased demand for security within factories. Third is the acceptance of our products and services that contribute to our consumable and recurring revenue growth. Fourth is the onshoring to North America. There's also the recovery going on in Europe, the overall creation of demand for security and security-enabled products everywhere. And that finally is built upon by the impact of government policy and regulation for not only the security requirements, but onshoring for content into North America. Now I've talked quite a bit about the dynamics of the automotive electronics industry and long-term growth prospects there. But this call, I'd like to share some insights from recent third-party announcements and earnings call transcripts to give you some context on why we are so excited about the long-term opportunity. First, Teradyne announced and projected a testing market that would be down about 20% this year. On the surface, that sounds extremely difficult environment for everyone in the capital equipment business. But if you look beneath the headline number beneath the overall average, you see some very interesting trends. What Teradyne said was they're seeing very, very weak conditions in PC and mobile versus what they were seeing in automotive and industrial. It's really a tale of 2 markets. Because PCs and smartphones represent about 2/3 of their market and automotive and industrial is only 1/3, the overall market was down quite a bit, but they did say that they saw strength in automotive and industrial, and they're pretty bullish on that overall segment. The second announcement that was interesting for us was made by General Motors, not on their earnings call, but you may have seen the fact that they said that they were going to be designing and supporting and managing their own software for their instrument clusters and infotainment systems and no longer supporting Apple CarPlay. Now what this means for us is we'll have an additional demand stimulus rather, in instrument clusters. And we've already been in discussions with the customers that have won this business or at least one part of the business about their outlook for the next 1 to 3 years. And we've seen before that this one OEM decision alone could have a material impact to demand and programming in this segment. And you add on top of this, the announcements you've seen in automotive about lowering prices to stimulate EV demand. Obviously, that's going to be good for suppliers into the automotive electronics industry. Shifting to IoT, I'd like to talk more about the impact of regulations and government policy and a little bit less about the technology. For years, we've been talking about why you want to have security in your hardware, the benefits for managing your devices, securing your supply chain, securing your software, protecting your data, which is what you're monetizing with an IoT device. And what we've seen right now is increasingly governments are stepping in and acting. We're seeing a heavier hand from government around the world demanding better products, better software and security and more accountability from manufacturers. The latest here is the policy document that was recently issued titled the National Cybersecurity strategy of the United States. Now it was published in March of this year. It's a very comprehensive plan to improve cybersecurity across the board for U.S. corporations and consumers. There's some very interesting specific sections related to device security that I think would be of interest to you. I'd encourage all of you to look at this. We'll put a copy up on our website, but look at Section 3.2 and 3.3. Section 3.2 is titled, Driving The Development Of Secure IoT Devices. This is a clearest subscription yet of what we've been advocating for years. Manufacturers will need to develop better products, which include stronger security, and there will also be a labeling requirement going forward. Section 3.3 focuses on creating better software and software security and also discusses liability impacts for those who produce poorly designed and insecure software. Now this sounds onerous to manufacturers and potentially could be. The good news is with our SentriX platform and our use cases that are specifically designed to address the 2 items I mentioned earlier, we're very well positioned to support customers that have needs to improve their products in these areas. Talking a little bit more about SentriX, we continue to have a strong pay-per-use revenue in the first quarter, and we made 2 significant partnership announcements as well in the first quarter. We announced our relationship with Noa Leading to establish the first SentriX security provisioning service in Japan. And we had a separate collaboration formed with Nuvoton Technology Corporation Japan to enable security deployment services across their IoT microcontroller product lines. Our work with Nuvoton enables OEMs to design solutions such as building automation, metering, medical and many other applications that are protected for high security and simplified process for deploying IoT security using Data I/O's SentriX product creator software tool. In addition to these activities, we had a very strong marketing momentum in the first quarter. This included our trade shows both at APEX in San Diego and Embedded World in Nuremberg, Germany. In fact, we had a tremendous embedded trade show with a real reawakening of the engineering community and product management community after 3 years of playing defense. People are eager to start new product development. They're eager to start that with better security in mind. And they're very excited to talk to Data I/O about how we could help them. We met with a number of companies, potential partners and had a very substantial bump in the number of qualified leads to our SentriX platform as well as our traditional data programming business. Combined with these marketing leads, our sales funnel remains robust as we benefit from these secular and regulatory growth trends and look forward to an exciting second quarter. With that, I'll turn it over to Joel Hatlen for a more detailed look at the numbers.
Joel Hatlen: Thank you, Anthony, and good day to everyone. The first quarter had strong revenues, gross margins and profitability as well as balance sheet growth in cash and working capital. I'll start with by discussing the balance sheet and move to the income statement. Data I/O's financial condition improved from the end of last year. We ended the first quarter with $11.9 million in cash, up $400,000 from $11.5 million at December 31. As we typically note each year, the first quarter has certain public company costs and payment of annual accrued items that typically use more cash than other quarters. With continued strength in our business and other operational disciplines, we were able to actually grow our cash in the first quarter. Net working capital increased from $17.6 million at December 31 to $18 million at March 31. Days sales outstanding, or DSO, a receivables collection measure, was at 51 days as of March 31, 2023. This is on track within our target range. Inventory of $7 million was up slightly from $6.8 million on December 31. During the last several quarters, the increase in inventory related to our decisions to hold additional inventory to address shortage risks, improve our resilience as a supplier and support our robust bookings and backlog levels. Our backlog on March 31, 2023, was $3.2 million down from $4.8 million at December 31 and reflecting a return to more normal levels and normal operations. Now on to the income statement. For the first quarter, revenue of $7.2 million was up from $5 million in the first quarter of 2022 and flat sequentially. This reflected strength across the board and was up 46% from Q1 of last year and drove us to profitability in Q1. Automotive electronics orders were 63% of 2023 first quarter bookings and continues to be our primary addressable market. First quarter revenue breakdowns were capital equipment 56%, consumables were 31% and software and services revenues were 13%. This breakdown was consistent with the percentages for all of 2022, which were 57%, 30% and 13%, respectively. On a geographic basis, international sales represented about 87% of revenue for the first quarter. First quarter 2023 bookings were $5.7 million, down from $6.8 million in the fourth quarter and $6.2 million in the first quarter of 2022. We saw expected softness in China as they recovered from COVID and prepare for new automotive emission regulations effective July 1. Europe was softer in Q1 coming off a very strong Q4 for bookings. Gross margins were at 59.5% in the first quarter of 2023, and were up from 55.5% in the fourth quarter and 46.4% in the first quarter of 2022 when there were significant issues negatively impacting normal operations. The increase from the fourth quarter was primarily due to more favorable currency exchange rates, channel and product mix and favorable factory variances. Operating expenses for the quarter were $4.1 million in the first quarter compared to $3.4 million in the fourth quarter and $3.7 million in the first quarter of 2022. The primary differences in year-over-year operating expenses are higher channel commissions, trade shows, incentive compensation and recruiting-related costs. As you know, we have substantial seasonal Q1 public company and audit costs. Funding our R&D continues to be a priority. R&D expense was $1.6 million in the first quarter compared to $1.5 million in the fourth quarter of 2022 and $1.6 million in the first quarter of 2022. Selling, general and administrative expenses were $2.5 million in the first quarter as compared with $1.9 million in the fourth quarter and $2 million in the first quarter of 2022. Taxes in the first quarter consisted of foreign taxes on the profits of our overseas subsidiaries and U.S. state income tax. The company had net operating loss carryforwards of approximately $20 million on March 31. Net income in the first quarter of 2023 was $95,000 or $0.01 per share as compared with fourth quarter of 2022's $510,000 or $0.06 per diluted share and the first quarter's net loss was $1.8 million or $0.21 per share back in 2022. Adjusted EBITDA earnings of $502,000 in the first quarter of 2023 compares with the adjusted EBITDA earnings of $831,000 in the fourth quarter of 2022 and negative adjusted EBITDA of a loss of $932,000 in the first quarter of 2022. We had 8,818,076 shares outstanding on March 31, 2023. Overall, we remain very strong financially and continue to have no debt. Looking forward, with the continued strong sales funnel, as Anthony addressed in his remarks, we continue to plan for double-digit revenue growth in 2023. We continue to expect relatively flat operating expenses throughout 2023, with the exception of primary variations due to sales and incentive compensation and the impact of currency changes. Gross margins are expected to continue to be in a range of mid- to high-50s throughout the year. That concludes my remarks for the first quarter of 2023. Operator, would you please start the Q&A process?
Operator: [Operator Instructions] The first question today comes from David Marsh with Singular Research.
David Marsh: Congratulations on the strong start to the fiscal year.
Joel Hatlen: Thank you very much, Dave.
David Marsh: I guess I wanted to zero in first on first quarter gross margins, which came in really close to 60%, which is a little above the guidance for the year and really up pretty substantially year-over-year. Could you just talk about how you're able to tease that gross margin level in the first quarter? And how that plays into your expectations for the balance of the year?
Joel Hatlen: Yes. I think the number 1 thing that I would say is good revenues and a more normal operating environment really enabled this. It had our factories working to get all the backlog that we could out. So it's down at a normal level. We had the tailwind of a better currency exchange rates in there compared to the fourth quarter in particular. And then we had very favorable factory variances as well as a channel mix that, in particular, was helpful. So in gross margins, we either have distributor discounts or we have sales commissions down in selling costs. This quarter, we had stronger sales in the Americas, which typically are an area where we pay a channel commission as opposed to a distributor discount mostly internationally.
Anthony Ambrose: So Joel, what you're saying is because that's one of the reasons why spending was up in SG&A.
Joel Hatlen: Yes.
Anthony Ambrose: But -- and the margins were higher because of where we sold, which channel determines that mix. The net impact to profitability is sort of awash, but you'll get higher margins and higher spending with what the mix we had in Q1.
Joel Hatlen: Correct.
David Marsh: And then I guess my second question, I wanted to focus on your comments around the Cybersecurity Act and just discuss a little bit about what type of a time line would we expect in terms of where we might start to see meaningful shifts in purchases to kind of reflect this new legislation? And how long might it take to be reflected in your income statement going forward?
Anthony Ambrose: Yes, Dave, I think nothing moves quickly when you're talking about the government, except maybe the motion to adjourn for the summer vacation. But the -- I think the most important thing for us is people are seeing the handwriting on the wall, and they know that they're going to have to design products now, even if it takes 1 or 2 years to finalize regulations and all those other things. If you're designing embedded IoT products now, they're going to have an expected life of 5 to 10 years or in some cases, even longer. What I think it's doing is forcing people who have been playing defense on new product design for a few years due to COVID, supply shortages, engineers not being in the office, they're coming back now for a new round of designs across a broad range of industries, and they're coming back with the idea that they have to have security in mind with those new designs. So I think it's yet another thing that influences people to add security to their design. And what it means now is instead of people facing brand risk and potential exposure for doing the wrong thing, now they're going to have the folks from the government on their case, if they do the wrong thing. So we see it as a long-term tailwind for our SentriX business, just another factor that we like about that market.
Operator: The next question comes from Kevin Garrigan with WestPark Capital.
Kevin Garrigan: Great speaking with you, again. Let me echo my congrats on the results. Just a few questions for me. So the first part, it's kind of a 2-part question. So the 10 new customer wins, are majority of those in automotive? Or are they kind of evenly split between automotive and industrial? And then going off of Dave's last question on the national securities strategy. Can you kind of give us a little more color on how those conversations are going with your customers? And then you said governments kind of move at a snail's pace. So are the conversations kind of like, yes, I mean we'll wait until we need it? Or are these initial talking kind of are they gung-ho about potentially using SentriX?
Anthony Ambrose: Sure. So the new wins, I think there were a majority of the new wins in automotive, it might have been 6 and 4 others or maybe 7 and 3, but it was actually a really good quarter for us on new customers. We typically come in with 5 or 6 new customers in a quarter, and this one was unusual in that regard. On the second one on SentriX, we're seeing a lot more conversations starting because people are adding security capabilities to their products. And it's happening, it's broad-based. As I mentioned, we had great conversations at our Embedded World Trade Show in Germany, which is a very influential show in our target market. And the government regulations are one more factor for why people want to do security. The silicon is there, it's mature, it's available. And we like to think we're making the actual provisioning of the security capabilities with SentriX a lot easier. Frankly, I think one of the challenges we had with COVID was it's tough to get out and sell new things face-to-face to people when they're not in the office or they don't want you in the office. It's pretty straightforward to say we bought 4 machines from you. We can negotiate the fifth machine over Zoom and e-mail. That's pretty easy to do. What's hard to do is to sit down and walk someone through a change in process or change in thinking because it would have been tough to get everyone to actually sit down in a conference room and be available. And I think that's changing this year. We certainly saw a lot more people at our trade shows. We're having much better access to people. I'm certainly paying more for travel and entertainment to get my sales and applications teams out the door, which is what I want them to be doing. So again, I think the regulation is a piece that I want to make investors aware of. It's finally gotten to the point where the government's figured out this needs to happen. So that probably says it's beyond the lunatic fringe and is entering at least the mainstream of the market.
Kevin Garrigan: Okay. Got it. Yes, that makes a ton of sense. Okay. Great. And just as a quick follow-up. So you have 1 quarter of 2023 in the books. But as you kind of look out to the rest of the year, what are the 1 or 2 things that you're excited about? And then what are the 1 or 2 things that kind of keep you up at night?
Anthony Ambrose: Every time I turn on the TV news, it's distressing. So I don't do that much anymore, rather watch a Kraken hockey game, they're doing pretty well, by the way. But the general business concern is let's pick your poison. Inflation, maybe it's deflation. Maybe the Fed is too tight, maybe the Silicon Valley Bank collapse has caused the credit crunch. Maybe the government is going to not pay investors because they can't raise the debt limit on and on and on and on. If you want to follow those macro variables, you'll get depressed pretty fast. The reason I wanted to call out specifically some things that I think are more relevant to our industry is when you go to the micro view, what are people that buy our products, what are they doing? The answer is they're buying our products. And when I read the Teradyne script, I think they did an excellent job of articulating that, yes, the overall market could be soft, okay, which is the headline news version that you're going to get. But within that, there are pockets of weakness in PC and smartphones, which are continuing, and pockets of strength in automotive and industrial. And so I guess the number 1 message to investors and what I'm trying to pay attention to is not the headline news version, but digging beneath the cover story and into what's really going on in automotive. And I mentioned also in automotive, cutting prices to stimulate demand, that's good. Nothing wrong with that. When GM says, you know what, Apple, thanks very much, but we're going to do our own infotainment system. We're going to have to have a pile of flash memory in the consoles and the monitors because we're supporting our own software, because we want to have our own customer experience. Well, that's great, too, for Data I/O because we don't provision a lot of stuff in the commercial tablet space, we can provision a ton of stuff in the automotive infotainment space. So again, these are things that are not macroeconomic variables that are very, very bullish for us as we look out over the mid- and long-term.
Operator: The next question comes from Chris Bakowski, [ph] who is a Private Investor.
Unidentified Analyst: Congratulations from me on the great quarter as well. I wanted to ask about the automotive sector in China. There's all kinds of news that production might be not as high as hoped because of the stop of subsidies. And there's also news that Tesla's cutting of prices is basically Tesla is going to all the suppliers asking for price reductions from the suppliers. So can you talk about what's happening there? And you said already that there will be -- you're expecting improvement later in China? And what gives you confidence for that?
Anthony Ambrose: Yes. Sure, Chris. I'm really glad you asked the question because I think it gives me a chance to expand on remarks that I probably should have said earlier. The way we see the situation in China is there's a lot of turbulence after the reopening in December and January. And I think it revealed they had some inventory in Q1. And we certainly saw that in Q1. Business was soft in China in Q1. What gives us confidence going forward are really a couple of things. Their March numbers look pretty good. We keep an eye on some of the automotive weekly trends in China. It looks to be improving. And then there's also this thing about they're changing their emissions regulations July 1. And it's my understanding that the way they do that is you're able to sell the cars that are under the old admissions for I think a 30-day grace period. But after that, you can't sell it. So when they make these emissions changes, if they have any cars that are the old standard, they need to get rid of them now. And so it does create some localized disruption on the supply chain as they say, all right, I'm not building any of the old models anymore. I have to switch over to the new models. And -- but at the end of the day, the demand is still there. China has a tremendous EV market. We're very well positioned in China. And as I think I mentioned on these calls before, I don't think you can buy a production automobile anywhere in the world that has real volume without having at least some Data I/O content in it. It would certainly be very hard to find one. And so for us, we think the China auto market definitely had a hiccup and it should be back to normal and continue growing. And then our suppliers, they ask for a haircut pretty much all the time. I don't know what the big deal is about Tesla asking for a haircut of their suppliers. That's pretty much typical behavior in the auto industry. And they buy from us because on a total quality and cost perspective, we deliver what they need.
Operator: The next question comes from Matt Winthrop with Equitable.
Matt Winthrop: I'm a retail broker and fair disclosure. I've been following you guys for a little while. Nice to see you're making good progress. I wanted to ask a double sword. You mentioned commissions once in a while. Do you rely more on an in-house sales force versus a local distributor for most of the products? And also, in looking at the last couple of quarters, there's a good amount of consistency in terms of bookings and backlog, yet you seem to feel like things are really picking up. Is there something in the marketplace other than corona that gives you so much confidence about later in the year? And we love to expand that.
Anthony Ambrose: Well, thank you very much, Matt. So on the sales process, we have a different model depending on what region we're in. We have direct salespeople, and that's certainly our preferred model in places like Europe. We also do a lot of business through distribution in Asia for a variety of reasons, local language support, local service are very good, and we have some very strong distributors in Asia. And in the U.S., we have a mix of reps and servicing reps in North and South America. So it really depends on the region. We've tried to optimize our sales capabilities to be what's available in the region that best serves our needs and our customers' needs for not only reliable sales engagement or also great service. So that's a sales question. On the second one on the business. I just keep coming back to the fact that long term, there's just more silicon going into cars, and it needs to be programmed. And we are, by far, the leading supplier in the automotive programming market. I could expand on that for probably 2 hours, but that's the 32nd version of why I'm excited about Data I/O. And you tease that out, more programming, more security, more capability, people need worldwide presence. They need global support and service. If they open up a factory in a new country, a new low-cost region, which people are doing, they know that Data I/O has a presence there and on and on and on. And then some of the midterm factors, you talk about getting rid of the silicon shortages, the China unique items that I just addressed in the previous caller's question, yes, so that's what we're excited about. So let's just keep going.
Operator: The next question comes from Michael Cooper, [ph] who is a Private Investor.
Unidentified Analyst: I wanted to understand the SentriX product or service line a little bit more how your sales cycle is? I know that product designers come in and do maybe prototype and then maybe it's 2 years until they go into production. So are you able to influence that -- bring that sales cycle down? Can you give us some kind of sense on are you seeing more product designers coming in on the front end in the funnel? And I think in the last quarter, you indicated maybe you had a few customers doing production. Is that number up today?
Anthony Ambrose: Yes. So the production one, let me answer that first. So we had good pay-per-use revenue in Q1. We had several customers start production in Q4, and they continued production in Q1. On the design cycle, I think you've got a very good understanding of the market. If we're going customer by customer, then we need to talk to them as they're designing or during new product introduction phase, which they could take 6 to 12 to 18 months to go into full production. One of the reasons that we're excited about what we announced with Nuvoton is we sat down with them and we figured out how to enable their products in a way that we do all the work upfront so that they can go to their customers with not only the silicon sale, but here's how you do the security provisioning and Data I/O or Data I/O's partner can work with you with an algorithm and a security use case that's already completed for you to go into production. And by doing it that way, it reduces the time between our engagement and to the customer going into production. It allows us to catch up to them a little bit later in the game and still have a design win. But you're right, overall, SentriX will require a little more time between when we engage and when the customer goes into production than our normal data programming customers.
Operator: The next question comes from Avi Fisher with Long Cast Advisers.
Avi Fisher: Two quick ones. Could you describe what a customer win is? I mean, is that a new client buying a new PSV or something else?
Anthony Ambrose: Yes, customer win, Avi, is when we sell a system. Usually, it's an automated system. Some customers a small amount might be a manual system or a SentriX win. And it's -- they don't have any Data I/O equipment at that site. So for example, if we've been working with a new -- with a customer for years and they open up a new location and we win that, that's a customer win. If it's a brand-new customer opening up a factory, that's a customer win. If it's a new SentriX customer, that would be a customer win. If it's the fourth system at a factory where we sold 3 that we would not count that as a new customer win.
Operator: Ladies and gentlemen, this will conclude our question-and-answer session. I would like to turn the conference back over to management for any closing remarks.
Anthony Ambrose: Okay. Well, thank you very much, operator. Before I close, I'd like to just remind everyone that we will be having our Annual Shareholder Meeting on May 18. I'll also be doing a couple of conferences in Q2, May 24 for the Singular Research Spring Select Conference, and I believe that will be virtual. And then June 22 for the Singular Research Summer Solstice Conference. And I guarantee you that, that will be on the longest day of the year. So with that, I'd like to conclude today's call, and thank everyone very much.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.